Mark Davies: Great. Good morning, everybody. It’s nice to see sort of good turnout. I think we are worried we didn’t have enough seats for a minute, but hopefully you could hear me okay at the back, and welcome to our results presentation. So, this is my first results presentation as the new CEO. To my left, I have Richard Howell, our CFO. We’re obviously very grateful to you guys taking the time to listen to our presentation this morning. I think we’ve got quite a few people on the line, some in the UK and some in South Africa. So, welcome to you all. And there will be an opportunity to ask questions at the end of the presentation. This morning’s agenda is firstly, an overview from me. I’ll seek to extract what I think are the key highlights in our results and in the future. I’ll talk about my first 50 days in the business as well, which hopefully you’ll find interesting my first impressions. Given that we’re 3 weeks away from a recent election in the UK, no doubt we’ll end up talking about the new government’s health strategy, what that could mean for PHP and the opportunities that we can already see. Richard, as always, will talk us through the key financial statements, the metrics, an update on our balance sheet, capital structure and the continued progress on rent reviews. Richard will then pass back to me, and I’ll give an update on the property side, as you would expect, as development. We’ve done one acquisition during the period as well we want to talk about. I’ll close out the presentation talking about our investment case, which remains very compelling with a commentary from me on the outlook. So, if I could just start with the highlights. First of all, I just wanted to state the obvious, it’s a very solid set of results. Importantly, for us, our performance is in line with consensus and market expectations. PHP, as many of you will know, is a long income company with very strong income security. Close to 90% of our revenue is derived from the UK and Irish government. I think it’s hard to imagine a company that has greater income security than we do. And for many years, of course, PHP has been recognized and rewarded for this with a premium rating. Our portfolio always has and continues to deliver rental growth in this period. It was no different £1.8 million of organic like-for-like rental growth. This equates to about 2.4% like-for-like on an annualized growth basis. Rather encouragingly, we did see a firmer tone in our open market rent reviews, plus 2.1% in this period versus 1.8% in the comparative period. So, this, of course, is good for our future projections and obviously very encouraging for myself and the management team. Our cost of debt remains unchanged at 3.3%. We’ve taken the necessary steps before the period end to reduce some of our cost ratios even further. In fact, we’ve removed around £1 million of overhead from the business, which we’ll comment on a little later. We’ll see the benefit of this as early as the second half of the financial year. And, of course, the fully annualized benefit of that will come through in the next financial year. We continue to grow our income streams. The dividend is being increased by 3%. This is the 28th year of consecutive growth. It remains covered. PHP is very proud of its achievement and management recognize the importance of this and the growing and covered dividend in the future is a very much sacrosanct, I think, to the management’s thinking in terms of how we run the business. PHP has got a good balance sheet. There’s growing evidence that valuations are stabilizing. I’m sure you’ll ask me about that later. And Richard will talk through our capital structure as well a little later. And finally, our metrics remain strong. We’ve got 99.2% occupancy and around 10 years of lease length. All of this, of course, lends itself to a good foundation for the second half and for the future. Next Slide, #5, on our dividends. Many of you recognize this slide before. We’ve obviously updated it. But I won’t spend too much time here because you’d be very familiar with our dividend track record that goes back 28 years and it’s Richard and my job to take it on from here. Look, we’ve got a continued desire to grow the dividend and to do this on a covered basis. Our average growth rate is very impressive. And we’ve consistently delivered sector-leading returns versus not only our peer group, but the sector as a whole and you can see that very clearly from the slide in front of you. We do, however, recognize the importance of income as a component of total return and management remain very focused on this now and in the future. So, just moving on to Slide 7. My first impressions at the time of writing, I think I’ve been with the business just over 50 days. I’m now through my 60th day in the business. I’ve worked in the listed property sector for many, many years. I think I know virtually every single one of you in the room. And if I don’t, I’m sure I’ll get to know you very shortly. So, I’ve worked in this sector for a long time. I was attracted to this role by the reputation that PHP has in the marketplace, the track record that we talk about and that we all know about. But it really is a sector, I think that’s clearly going to grow. And I’m excited about that opportunity, working with Richard and the rest of the team to find ways to capture that growth. So, in this first 50 days, it’s been very clear to me and obvious that I’ve inherited a great platform from Harry for future success and had a very effective transition period and a seamless handover working closely with Harry, Richard and the rest of the team. So, I think that’s been very well executed and, as I said, pretty seamless. Initial observations are, we’ve got a very, very capable team of PHP. I’ve enjoyed spending time with my new colleagues and visiting several of our assets in the UK and in Ireland. I mean, very impressed by the depth of the relationships that the team have both in the UK and in Ireland with the key stakeholders that we work with. Our technical capability is very strong. And what I mean by that are asset management skills, our rent review capability, our development capability, which will come through in due course and that goes from anything from building new modern primary care facilities or a diagnostic center that I visited that we’re working on just outside Cork where it was last week. So, I’d also like to add on the finance side and the corporate side, PHP is very strong. But I think most of you probably already know that from working with us over the years. Look, Richard and I will absolutely focus on maximizing the efficiency of our capital structure. Going forward, the business is very well run. It’s extremely efficient, very low-cost ratio, always looking to do more, as I’ve said, from the cost that we’ve just taken out of the business in the period that we’ve just reported on, we’re in a winning sector. It’s my job as the CEO to work with Richard, the rest of the team and the Board to find ways to create value for shareholders and to capture that opportunity. We do recognize the importance of income and finding ways of driving income growth in the portfolio and in the business in the many years ahead. And that track record is totally undeniable. The social and demographic drivers work to our advantage. The political landscape leaves us well positioned, and we’ll talk about that in more detail shortly. So, when I put all of this together and I think about our strategy for the future, I think we’ve got a winning strategy. I do think our strategy will be evolutionary, not revolutionary. And I’d like to point out whether we’re looking forward to our Capital Markets Day on the 16th of October, which gives us a great opportunity to communicate this to you and the rest of the market. I said I’d talk about politics, only because we’re, I guess, 3 months or 3 weeks away from the general election. So, it’s perhaps worth just making some commentary, not least, we expect this to come up in questions as that they develop. Look, it’s a very early point in the new administration, but it does appear that the new labor government is good for PHP and is very committed to a community health, primary care agenda. So, what do we know so far? First of all, we know that the government has stated this publicly, going to invest billions more capital, more money into primary health. This can only be a good thing for us, for PHP. Secondly, the government is going to divest investment from hospital environments into community health. And again, PHP will, therefore, clearly benefit from this. In fact, Wes Streeting has gone on record in the election buildup and on his first day in office to say that for every patient that goes into a hospital setting, he thinks that’s costing the government £400 a patient and an equivalent patient It’s not a strict like-for-like comparison, but the point is the same. That’s costing the government £40 to go into a primary care setting, which is we’re invested. So, that cost benefit equation is very favorable to PHP and obviously, our future prospects, and we’ll clearly be working with Wes Streeting and the new government to help deliver on that stated strategy that he’s quoted on. The other thing, which I think is quite interesting is what the new health secretaries has pioneered as it is describing the NHS as a neighborhood health scheme, not a national health service. So, that’s a really interesting proposition. But it certainly tells you the direction of travel and how he thinks about government’s healthcare strategy going forward. And realistically, to do this because the government is very committed, again, it stated this publicly, is committed to fixing crisis areas, obviously, not just waiting list, but mental health, obesity, dentistry, a whole range of problems that he has inherited. In reality, this can only be fixed locally and tackled locally. So, again, we at PHP feel well placed, and we’re looking forward to working alongside the new government, creating the new modern, flexible primary care facilities that labor will need to deliver if it’s going to be successful in executing its strategy. We’ve definitely got the expertise in the business to do this and our health care infrastructure in this country is in great need of investment. I’m sure you’ll be aware, better diagnostics, more technology, moving the health care system to a system that is focused on prevention, not sickness. So, again, we are trying to hold back our optimism a little bit. But clearly, you can imagine we’re pleased with everything that we’ve been hearing from this new administration in the 3 weeks that they’ve been in office. There are a few other interesting drivers that we’ve seen in government policy that’s already been announced. If we take you to Slide 9, it’s not just a health policy that could be a growth driver for PHP. Housing policy and the delivery of new homes. Again, that could present an opportunity for us. We’re seeing that within our portfolio already, the UK population, clearly forecast to grow by as much as 3 million over the next 10 years of population, as we know, is living longer and there’s growing health care demand. And again, we’re well set to benefit from that. In terms of what that might look like in terms of new modern primary care centers, demand is clearly going to increase it could be anything up to $300 million if you do the math. But it could take time clearly to deliver on that strategy. And we’ve got two live examples we’re going to talk about later on. South Kilburn and Bilsby, which are on the screen, we’ll talk about in detail later. But this could obviously create a meaningful opportunity for PHP. The other change that we’re seeing in policy is around pharmacy. Some of this was already in place before the new administration. But again, this could be good for us. We’re seeing more focus on seeing people locally and treating people locally. And the pharmacy policy will clearly take time to deliver because people have to be trained and there’s all sorts of health and safety implications. But again, it’s refreshing. And the determined approach that we’ve seen, we welcome, and we’re looking forward to obviously working alongside the new administration to deliver on this strategy. And I think on that note, Richard, I’m handing over to you to talk through the financial highlights.
Richard Howell: Yes. Thanks Mark. Good morning to everybody. Good to see such so many people in the room today. So, just touching on the key financial highlights, which I hope are in line with every expectation and carries on that tradition of not giving any surprises to the market. So, net rental income up £700,000 driven as the usual by rental growth from rent reviews and asset management that generated an extra £1 million of income. The acquisition of Bal & Colleague at the back end of last year added a further £500,000, but we did face some headwinds in terms of additional £800,000 of property costs, but that was caused predominantly by the one-off write-off some work in progress for a development that didn’t progress at Colliers Wood. So, overall, up £700,000, but that would have been £1.2 million if you strip out that one-off costs. So, adjusted earnings up £400,000, £46.3 million, driven by that £700,000 of increase in net rental income, but we also gained another £200,000 of income from our acquisition of Axis last year. And our tight control on admin expenses, we saw a further reduction in those of £200,000 driven predominantly by a voluntary redundancy program we carried out last year. And as Mark has already mentioned, there is a further £1 million of cost savings to come in the second half of this year and into next year. Interest costs to go up by £700,000 and that really reflected the capital expenditure spent on the acquisition of Bal & Colleague and asset management schemes over the course of the year. So, overall, adjusted earnings per share, 3.5p, up just under 3%, which fully covered the dividend paid in the period. Mark has already mentioned it’s like-for-like rental growth of £1.8 million, which is obviously the key driver to continuing the dividend growth story, which is up 2.4% on an annualized basis. Revaluation deficit, £40 million, perhaps slightly higher than we had anticipated, but I think that probably reflects a slight sort of hangover from the interest rate environment with 10-year gilt rates at around 3.5% at the start of the year compared to around 4.2% today. So, that was driven by two key components, 13 basis points of yield expansion, £73 million. Our rental growth delivered £33 million. But I think from our perspective, we do see value starting to stabilize now. And with rental growth to continue to accelerate, hopefully, that valuation will start to turn positive in the future. So, overall investment portfolio valued at £2.75 billion, down 1.4%, driven by that revaluation and deficit. We did have two small acquisitions at the end of the period, an opportunistic acquisition in Basingstoke, relatively smaller £4.5 million. And we started our second net-zero development at South Gilman and again, we’ll talk about this a bit later. So, overall, net asset value per share, down 3p, 205p loan-to-value ratio, 48%, still within our target range of 40% to 50%. We still maintain a strong metrics, longwall just under 10 years, pretty much full occupancy, probably one of the lowest per cost ratios in the sector at 10%, and that should fall further in ‘25 unchanged average cost of debt. I won’t dwell too long on this slide. It’s fairly straightforward. Just tracking the movements in the net tangible assets, starting at 108p. Adjusted earnings of 3.5p, which were paid out as a dividend. And then we have the impact of the revaluation deficit 3p resulting in the closing net asset value of 105p. Probably a few other key numbers to pull out from this slide, net industry yield now put just under 5.2%. Like-for-like ERV growth from our value is coming through 1.7% in that period, which equates to 3.4% on an annualized basis, again, continuing that sort of positive news in terms of rental growth. Turning to the balance sheet. We’re very aware of the refinancing falling due next year in 2025, and we started to address to those. And in the current environment, especially where the share price is at the moment, getting terms for new convertible bonds have on attractive terms, have proven to be unattractive and notwithstanding strong demand from potential convertible bond investors. That said, we’ve looked at the other maturities falling due that year and have agreed a number of new loan facilities or in advanced discussions to refinance existing facilities. So, we have a new £170 million and RCF facility with Barclays, which is Credit Committee approved, we should get documented later this quarter. And we will use those funds to refinance £70 million variable rate bond that matures in December ‘25. That’s our most expensive piece of debt on the debt book around 2.3% coupon. We should say margin savings around 90 basis bps,90 bps on that refinancing, which obviously, that’s going to lead to further accretion to earnings next year. We’re also in discussions with Lloyd’s to refinance our existing £100 million RCF. And we’ve also exercised an option to extend our £50 million RCF with Santander. So, debt maturity profile is shown in the graph below, which sort of shows where we will be once these refinancing has been completed. So, what’s really left in ‘25 is £150 million convertible bond, but we do have £308 million of undrawn headroom across our various debt facilities after capital commitments, which will allow us to just repay that at maturity in July. And then obviously, look perhaps issue a new bond when the share price in the market is a bit more favorable at some point in the future. Just looking at the total debt summary. Total debt facilities just above £1.6 billion, which we’ve drawn £1.3 billion. So, as we already said, £308 million of undrawn headroom 96% of that debt book is fixed or hedged out for just around 6 years. We touched on the group LTV ratio. Average cost of debt, once those refinances have been completed, it’s probably likely to rise by around 20 basis points to 3.5% at the start of next year. We still continue to have very good headroom across all of our covenants, but the pertinent one is loan-to-value ratio covenant, and we need to see the portfolio fall in value by around £1 billion or 38% for us to hit those covenants, which would imply the net entry yield across the portfolio is ballooned out from 5.2% to 8% today. So, at that point, I’m going to hand back to Mark, who’s also big on – I won’t hand back to Mark, I’m just going to talk a bit more around rental growth and improving open market value rental growth outlook, which we’ve touched upon earlier. Open market value is obviously around two-thirds of the total portfolio, and we’ll continue to see that growth improve up to 2.1% in the first 6 months of the year, up from 2.18% in the previous year. Obviously, as the impact of inflation starts to subside. We should see open market value reviews starting to pick up that slack and deliver that continuing rental growth story. We delivered £1.6 million of additional income from revenues in the first 6 months of the year, but we’re expecting that to be in excess of £3 million for the full year. Looking slightly ahead to future rental growth. One of the drivers of this, obviously, we’ve touched on some of this before, build cost inflation, historic rent reviews, which have been held back by the District Values office and increased development activity will all be key drivers to pushing these values forward along with increased specifications and the ESG agenda. So, when we look at our outstanding rent reviews, we have just under 600 of these outstanding across £87 million of rent roll. We have 300 of those are in negotiations at the moment, and we’re expecting extra £2.1 million of income from those, which is on a fairly conservative basis, which is an uplift of just under 5%. There are further 287 reviews that will be actioned in due course once we have a bit more evidence around those to focus on that growth. But obviously, rental growth continues to be the key focus of the management team. Now, I’ll hand back to Mark.
Mark Davies: Thank you, Richard. That was a very comprehensive update. Slide 19. I commented earlier on the quality of the PHP team and our asset management capability. And there’s a lot that we can do with our existing estate. We’ve got a number of interesting asset management projects in legal and in our pipeline. And I’ve already managed to visit many of these assets in my first few days in office. My initial impression is a common thing of extension and refurbishment opportunities that can add value. And what I mean by that is an attractive yield on cost, often in excess of 6%, but we’re always targeting at least a yield on cost of 6% and a profit on costs that can follow in advance of 10%. So, obviously, very accretive to our shareholders. It won’t surprise you to hear that there’s high demand for our space. Sometimes the key driver is ESG, which plays a part, too. But principally, it’s driven by growing populations and ever-growing patient lists at a local level. So, we’re very aligned with our occupiers in working through our asset management plans. Also, on the development pipeline, where we’ve been a little silent for a while because of disconnect between building costs and rental levels. You’ll see from the slide that we’re currently weighted more on pipeline in Ireland because there’s a number of schemes that are currently being tendered through the HSC. And that will bring inevitable opportunities our way because we’ve got a very strong team on the ground in Ireland, who are well placed to work on that as it comes through. But there are one or two developments now beginning to happen. I’m going to comment in a couple of slides’ time on the good start that we’ve made in places like South Kilburn in London and in Silsbee. So, this is a very important part of the business. And I’ve been really impressed with the asset management capability. It’s a technical sector, and it requires a certain skill set. And we’ve got that in the business. So, there’s a lot of value for us to go after. Slide 20, the Swan Lane Medical Center. I visited this asset out in deepest Norfolk only a couple of weeks ago. It’s really great to see actually what the PHP can deliver on the ground. The story here is a good one. We’ve invested wisely. We’ve extended the building to reflect a real high demand and a rapidly growing patient list in this part of the country, principally driven by population growth. This primary care center, following our investment, our extension and our refurbishment can offer a much wider range of services, including minor ops, mental health services, physio, pharmacy, these are all very important extensions of traditional GP practice service offering. The extension includes, I think, seven new clinical rooms. And we’ve improved the environmental rating of the building, solar panels on the roof, you can see there. There’s EV charging points in the car park, all of which are occupied, why can’t see the signs on the screen in front of us. So clearly, high demand for that. And we’ve got air-source, heat pumps as well. So, they’re managing to do this on a net-zero basis. So, that’s really great. And something that we’re obviously deliberately choosing to point out. There’re 1,800 new homes being built in this area. It’s incredible the number of scalable housing developments that you see just driving around. And we’ve got more land here as well. You can kind of see on this side of the car park, which was being landscape when I was there a couple of weeks ago. But in due course, as the population grows, you can imagine, further asset management and development potential here. And there’s plenty more of these opportunities to go after in the portfolio. And I’m obviously working very hard with our asset management team to deliver that value. Slide 21. It’s a familiar slide to most of you. We have completed one acquisition in the period, which is actually on the right-hand side. This is the Jal center in Basingstoke, freehold acquisition structured the sale and leaseback with the GPs, who’ve taken a 21-year lease. It is an accretive purchase for us because they were certainly a willing seller, and you could describe them as a force seller. And as a consequence of that, we were able to pick up this acquisition in a strong suburban location with a big patient list at an attractive yield of 6.5%. The asset also has a pharmacy and a dentist. And there’s a whole range of things that we can do as the new owner because this is kind of what we do, really. The acquisition was opportunistic. We’ve got a good network of contacts. We’ve been doing this for 30 years. And we’re always looking to find new opportunities such as this to unlock value, and it’s obviously accretive now and in the future. On the development side, we should point out that development always takes longer than you think. However, there’s two developments now that we have managed to progress with, one of which we’ve already signed in this period in South Kilburn, which is actually the second one from the left, South Kilburn’s a London suburb. And we’ve been working on this for some time. But to make it happen, fundamentally, what it’s taking us to get it over the line is what I would describe as a partnership approach. And what I mean by that is, PHP Countryside Properties part of Vistry, the housebuilder and the developer of the wider development, Brent Council, the local authority and the local care Board, have all come together. And the council has got its checkbook out the Care board has also made a significant capital contribution. As a consequence of that, our net cost has been reduced, and we’re able to drive a yield on cost of I think it’s 6.2%. I think we’ll see more of this and that partnership approach, I mentioned for a reason, and the 6.2%, that’s accretive, but we also get to pick up a capital appreciation in the value of that asset, which is not hard to imagine that when we’ve completed that scheme with a long lease, which is going to be 25 years that could easily be 5% or less. We’re on a similar path in Silsbee in Lincolnshire and there’s more to do here, but what’s slightly different, but also very compelling, is that in Silsbee, we’ve actually managed to get the rental level to over £300 a square meter, which is very much in-line with where we would need it and want it to be. I think it would be a record rent per square meter in this part of the country. So, clearly, excellent news for us, our existing portfolio and this particular opportunity. There is a bit more work to do here just to work through with the lease structure and how that’s being proposed to us because it currently doesn’t work, but a bit like with South Kilburn. We keep working away with all the stakeholders in this project. Pleasant Homes are the house builder. I met with our CEO last Friday, and we will kind of work together collaboratively to make this happen. So, look, hopefully, we will see more of this in the future. And clearly, we have had some positive momentum in this period, and it’s very – is definitely an effective way to create value. So, just before I finish up, I think we are going to manage to do this just a time. I will just talk through what I think, and in some ways, is a reminder for you all what I think is the compelling investment case for PHP. As an investment in our company, you get long-term, stable and growing income. All of which rather is backed up by a strong covenant tenant in the UK and Irish governments. Our sector is clearly set to grow. It has done historically, but the demand levers are clear and accelerating faster, particularly the political landscape has moved to our advantage. And our proven track record as an owner, investor and a manager are second to none and will inevitably allow PHP to play a major part in the future growth of primary care sector in the UK and in Ireland. And we will be saying more about this at our Capital Markets Day on the 16th of October. So, just to finalize and my closing remarks, this is a solid set of results. Management has a continued focus on earnings and dividend growth and are designed to remain our very long-established track record of outperformance. I feel I am off to a good start in my new role as CEO. I am sure my initial impressions are coming across is very positive because that’s how I feel. We have got a very solid foundation for future success. We have evidently got a strong control on costs, never complacent about this, and we have taken a further £1 million of overhead out of the business as we have alluded to you this morning. And we will see the benefit of that coming forward in the future. There is lots of opportunities for us to go after in the sector in which we are in. We have talked about the significant change in the political landscape. It could be a big chance actually for management to go after. The investment case for PHP remains extremely compelling and management are very focused on growing the business. And we do so with a great team and obviously, and surprisingly, a forensic focus on delivering shareholder value. So, that concludes my first PHP results presentation. I think the last time we were all together in the room, it was Harry’s last presentation. So, I am pleased to get this one done. I think, Harry, if I recall correctly, it was almost your 60th presentation. So, I didn’t quite get that quite right, but I know it was close to 60. And I would just like to highlight once more our Capital Markets Day on the 16th of October, I think it’s going to be held in London, and we would love to see you there because this is a results presentation. It’s taken us 40 minutes, and we are spot on time for Q&A. But clearly, there is more that we would like to talk to you about the outlook and how we see the strategy for the business going forward. So, I think on that note, I will bring the presentation to close and would welcome questions from the room, and I think we have the ability to take questions online as well.
Q - John Cahill: Good morning, John Cahill from Stifel and thanks for very clear presentation. I wanted to ask you about the partnerships approach, which is a really interesting way of sort of trying to deal with the District Valuer. But at the South Kilburn site, I think you said there is a capital contribution, which is the help. But in your results, you mentioned that that could come in the form of a rental top-up with some potential future schemes. Have you any feel for – would the District Valuer consider that top-up rent to be the true figure, or might they mark their own homework and say, well, no, actually, we don’t consider that the real rent?
Mark Davies: Yes. Without breaching too many confidences, it’s a very good question. Yes, in Spilsby, I talked about the rent at over £300 a square meter. Clearly, we are very encouraged by that. In terms of the mechanics and the design that sits around it, clearly the DV would like to believe that the rental tone is the lower level before top up, not the actual level that we will inevitably receive. So, there is that constant on that, which you will obviously be very familiar with. In fact, I think you mentioned it in your note earlier this morning. And that often remains the challenge. And if Wes Streeting is able to deliver on his strategy, he is going to have to bring treasury with him on that journey is and then get his colleague, Rachel Reeves to ensure that they are working collaboratively. If we are able to work together in partnership, not just with government but house builders and ICVs and local authorities as we have done in Brent with South Kilburn, then that’s going to be good for everybody, not least actually good for the UK government because of the cost benefit dynamic equation that I alluded to earlier. So, clearly, we are progressing with these discussions optimistically, but there is always that degree of caution when the DV has the ability just to put the brakes on.
John Cahill: Okay. Thank you.
Andrew Saunders: Thank you. Andrew Saunders from Shore Capital. We just looked at the outstanding rent reviews that you mentioned earlier in the presentation. Can you give us some sort of idea about the timeframe over which you think those might be settled and perhaps the uplift that you would be targeting? And also, perhaps you could just comment on what’s happening in terms of current rent reviews coming up with the DV and are we getting back to a more business-as-usual approach?
Richard Howell: Yes. First the key thing for our sector and probably the most frustrating thing, it does take an awful long time to get some moves review settled. So, most reviews, which we settled in the first six months of FL in the years prior to ‘22. So, it can typically take 2 years to 3 years to get these amounts agreed. That said, when they do get agreed, they do get backdated to the original data and rent review. So, to some extent, time is of the essence. But we are obviously very keen to keep accelerating these, but we do face these headwinds, as Mark has already mentioned, with the district value agreeing these. But we would have thought in terms of volume, we should start to see reviews from ‘22 and ‘23, which were the periods when inflation was significantly higher, starting to come through second half of this year and into next year, which we would hopefully start to show the real push in open market value rental values started to come through into the numbers.
Mark Davies: Andrew, if I could just extend Richard’s response. I mean coming into the business fresh, I have spent quite a lot of time on the rent review side because it’s slightly unique, if you like, compared to other commercial property asset classes that we know. We have got a dedicated team that just do this and do nothing else. So, when I first looked at this, I thought, wow, this is great. We got 3-year rent reviews. We capture the uplift. We know the portfolio is clearly under rented. Wow, there is lots to go for and then this just takes a bit longer to deliver on this than you would imagine. But the benefit of having such a large scalable, diverse portfolio, that there is always things happening. And there is one part of the country where things for whatever reason are taking far too long, and there is a rent review that’s outstanding for many, many years, and it’s very frustrating. But then in other parts of the country, we have a better DV for one of a better term and a better relationship with them and a willingness to engage and work collaboratively. So, sometimes you are sort of scratching your head. But, yes, the good news is, when those rent reviews come through, the rent is kind of only really going one way, and that’s why the company has such a long track record of income growth.
James Carswell: It’s James Carswell from Peel Hunt. Just on the asset management projects, I mean you are clearly making pretty attractive returns, and it sounds like more capital might be allocated there going forward on a proportion of the capital that’s being invested. I am just wondering, do you have similar kind of battles and negotiations in terms of that incremental rent you get on the asset management projects, or is that a much simpler kind of negotiation with the District Valuer compared to the development side?
Richard Howell: Yes, good second question. First question is more straightforward. I mean you can see from the slide, we have got a lot of activity on the asset management side. And we would like to do more clearly because when we do this, we get a good return on capital, and it’s good for the asset, good for the story and improves our assets and makes them more sustainable for the future. I could talk about some live examples that I have experienced in my short time with the company. Let me think if I can find a good one, which specifically addresses your question. Okay. So, I was in Wakefield last Tuesday, and it’s actually quite an easy place to get to, believe it or not. And we have owned an asset there for a long time. And we are having an engagement with the partners, the 12 partners in that practice. And the local ICB, we have got great relationship with. And this conversation has been going on for some time. And we have managed to get there and get that scheme to a level, a rental level where we can commit and we can invest. It has taken quite a long time to get there. So, I can’t sit here and say it’s easier to do it. But what I can say, having gone to that meeting with all the stakeholders in the room, you are kind of pushing on an open door. But sometimes the DV comes along and has the key sort of thing. So, in that particular case, well, our Board approved it this week. So, we are going to go ahead with that investment. And it’s one of the schemes in the pipeline. I would make that sound perhaps easier than it probably is because there is a history, this particular scheme that goes back before my time. But the thing that was very obvious to me, you have got all these stakeholders in the room all trying to do the same thing. And if we can get the rental levels to where they need to be, then everybody is happy. And our cost of capital is modest compared to some. So, we are not looking to be unreasonable, but we need to make a return for our shareholders. That’s kind of what we are ultimately here to do. So, a slightly long answer, and hopefully, I have addressed it for you, James. But I am sure if we haven’t, we can pick that up separately.
James Carswell: Alright. Thanks. And then Richard mentioned the investment market seems to be stabilizing in terms of yields. I mean are you seeing more new entrants coming into the market? Are you seeing more transactions happening? Just maybe a bit of an update on the investment market.
Richard Howell: Do you want to answer that?
Mark Davies: Yes, there has been clearly a lack of transaction activity in the UK and in Ireland. We do hear about new entrants coming in. We do hear more about investors wanting to come into the space, often of an institutional nature would love to be in the sector, to love to be where Harry was 30 years ago and try and get into this space because the barriers to entry are pretty high. It’s technical. You need to have scale. And obviously, we have that. So, we have got a bit more competition in Ireland, for example. So, we have seen new entrants there in the shape of KKR, we bought the John Laing Infrastructure Fund. But in the UK market, other than names that you probably already know, we are not seeing any competition beyond that. Have you got any questions coming in online at all?
Operator: [Operator Instructions] Currently we have no question over the telephone sir.
Mark Davies: Okay. Got thumbs up at the back. Well, look, I will repeat what I said earlier. Thanks very much to all of you for coming in. We have got a full room here this morning. And there is quite a lot of stuff going on in the market that we know about. So, we are grateful to you for that. Hopefully, we managed to get across the key messages around the results that we have just presented and some of the important themes that we see coming through in the future. Our Capital Markets Day is not too far distant and we would be very grateful to see you again, and we will hang around for any one-to-one questions if you would like to come and see, Richard and I at the end of the presentation. Thanks very much indeed.
Richard Howell: Thank you.